Gianandrea Roberti: Good morning, everybody. My name is Gianandrea Roberti. I'm Head of Financial Reporting at Tryg. We published our Q1 figure earlier this morning. And I have here with me Johan Brammer, our Group CEO; Allan Thaysen, our Group CFO; and Mikael Karrsten, our Group CTO, to present the figures. I would like to remind all participants that when we open up for the Q&A, it would be one question at a time to allow everybody to ask questions. And with these words, over to you, Johan.
Johan Brammer: Thanks a lot, Gian. And good morning to everybody on the call from me as well. I'd like to start just by commenting on the revenue growth, which for Q1 is just shy of 4%. It ends up at 3.7%, primarily driven by price adjustments in the private segment in order to offset the continued inflationary pressures. The insurance service result for Q1 is DKK1.54 billion, which is substantially above last year's level. This is primarily driven by a mild winter, resulting in lower claims costs. The combined ratio for the Group is 84.2% with good performance in Denmark and Sweden and an improving trend in Norway. The Group underlying claims ratio improved by 30 basis points, while private improved by 10 basis points. The improvements are underpinned by our profitability initiatives across the board. The overall investment result was satisfactory at DKK320 million, especially in a fairly volatile period with often contradictory macroeconomic news flows. We're reporting a pre-tax result just below DKK1.5 billion, DKK1,491 million to be precise. A return on own funds of 33.4%, and we pay a dividend per share of DKK2.05. The solvency ratio is 195% as per end of Q1. With that, I move to page five on the customer satisfaction. And customer satisfaction remains very important for Tryg and we are satisfied to achieve a Q1 level of 82 against an overall Capital Market Day target of 83 in 2027. It is worthwhile to remind everybody that we have now fully included our Swedish business in the baseline of 81 for 2024. We see a strong link, as always, between customer satisfaction and customer retention, and this is coupled of course, with our low distribution costs and level of profitability. And the main driver, the main driver of the improvement in Q1, is our Swedish business, where there's an intensified focus on customer satisfaction following the full integration of Trygg-Hansa. With that, I move to slide six. And I guess the previous slide on customer satisfaction presents a fairly adequate bridge to a very recent event, namely the publication of a report on the Danish non-life insurance industry by the Danish Consumer and Competition authorities. I'd like to start out by saying, and this is important, that we do welcome a good public debate on our industry, recognizing the role and importance that it plays in the society. As it seems like the possible outcome of an eventual investigation has worried some of you on the call here, we deemed it important to remind you about some specific facts around this topic. So, fact number one is that Private Denmark, the focus of this report is an important part of our Danish business but a smaller part of a much more diversified group following the acquisition of RSA Scandinavia. Fact number two is that we do run a very efficient business, characterized by a low expense ratio and lower distribution cost than in many other geographies in Europe, as we continuously work to automate our processes, streamline the business in general, as well as improve our digital setup. Fact number three is that Danish consumers understand that insurance is an important product. That is fairly well illustrated by the fact that families buy approximately four products per household. And at the same time, we at Tryg have a high level of customer satisfaction compared to other markets. That being said, it is still apparent and clear that consumers remain sensitive to price increases, which is also noticed in the current figures following a prolonged period of inflationary pressure on claims costs. I'll get back to that later on. Fact number four is that in one of the key product categories in the industry, namely motor, we see relatively similar insurance prices in Scandinavia compared to other nations outside Scandinavia, despite of the fact that the price and value of cars in Denmark and Norway is highly elevated due to very high taxation levels on new cars. Fact number five, it appears from the report that indexation is one of the debated items subject to the possible market investigation. Allow me to stress that indexation is a general market practice through decades in Denmark, and should it be altered, it would be an industry move affecting all players. It is worthwhile to remember that indexation is not used in Norway and hardly used in Sweden, so we are at Tryg quite familiar with other models also. So overall, and to wrap up our position in this matter at the current stage, we do not believe this report or any possible future investigation will change our ability to run a healthy business with strong customer satisfaction in Denmark and to produce long-term attractive shareholder returns. With that, please turn to slide seven on the Group ISR. We're showing in this slide, as we always do, the split of the ISR into the two business segments, Private and Commercial. As a reminder, and as communicated together with the annual report last year, we've run the business with only two divisions following the merger of the Commercial and Corporate segment, and our reporting will of course mirror this going forward. As for the ISR in the Private segment, on the top of this slide, you can see how it was improved due to a lower amount of weather claims following a generally mild winter and also an improved underlying claims ratio. As for the ISR in the Commercial segment, on the bottom of the slide, you can see how it has improved, thanks to a lower amount of weather and large claims, partly offset by a lower runoff result and also an improved underlying claims ratio going the other way. And with that I turn to slide eight, where we show the insurance service result split by geography. And, I'd like to start on the right-hand side. As illustrated in the bridge there, you can see that the movement from Q1 2024 to Q1 2025 is largely explained by a mild winter, lower large claims and a slightly better underlying performance, although a lower runoff result is partly offsetting this. On the geographical splits, on the left-hand side, you can see that Denmark is reporting a higher ISR, driven by lower weather and large claims, as well as a higher runoff result. Norway is showing an improved performance, also helped by a mild winter. And in general, we noticed progress in our Norwegian business, and we firmly believe that the profitability initiatives are bearing fruits in line with our expectations. We'll get back to that particular topic later on. And as for Sweden, we are reporting a lower ISR compared to last year, primarily driven by an abnormally high runoff in Q1 last year. And with that, we turn to the next section on the insurance revenue development and slide 10 of the presentation. Our top line grew 3.7% in Q1, primarily driven by price adjustments in the Private segment to offset inflationary pressures. This is particularly true in Norway. And we'll come back to this, as I mentioned earlier. The growth in the Private segment was 5.1%, primarily driven by price adjustments, with the growth in Denmark and Sweden almost on par with the total Private growth, whereas in Norway it was somewhat above. The growth in the Commercial segment was just under 1%, with a loss of a couple of Norwegian corporate customers weighing negatively until mid this year, but also in general, a lower Commercial growth, as some customers are reacting to price increases, particularly in the Danish part of the business. And with that, let's move to slide 11 on the Norwegian profitability. The combined ratio in Norway was 95.3 in Q1, a much improved level from last year, also helped by a more benign winter. It is important to remember that the earnings path in Norway is even more skewed towards Q2 and Q3 than the earnings path of the Group. This is obviously driven by the fact that in some years the winter weather may result in significantly higher claims costs in our Norwegian business compared to the spring and summer period. Our profitability actions for the Private segment in Norway remain unchanged, including high levels of price increases for in particular motor and home insurance. We can see that the effect of that is coming through and that the impact will gradually earn through the P&L. With that, let's turn to slide 12 on customer retention. And customer retention, an important topic, remains broadly stable, especially when looking at this in longer-term development series. That being said, though, it is of course evident that the different profitability initiatives needed to offset inflationary pressures are impacting the overall retention levels more recently, especially in Denmark. This is further testament to the fact that we work within well-functioning markets, and as experienced in the past, at times of significant profitability measures, we do see some customers leaving us. We believe long term that we'll remain highly competitive and attractive for customers due to our overall low expenditure level and high efficiency. And with, that I guess I'll turn it over to you, Mikael.
Mikael Karrsten: Thanks, Johan. And we now turn to slide 14. In this slide, we show the development of the underlying claims ratio, where we clean the reported claims ratio from large and weather claims, runoff, as well as interest impacts. The Group underlying claims ratio improved by 30 basis points, and the improvement was also supported by an improvement of 10 basis points in Private, our largest business unit. Profitability initiatives within, in particular, motor and the Norwegian Private segment contributed to the development. We continue to see that ongoing profitability actions are earning through and continue to expect a broader stable to slightly improving claims ratio going forward, as stated at the Capital Markets Day in December. And I now turn to slide 15, where we deep dive into motor. The development for motor has been an important focus area for Tryg in the last 18 months, and we now see that all the profitability initiatives we have pushed through are positively impacting the financial performance. We are in good control over the claims frequency development and notice a stabilizing development over the past quarters, in line with our expectations. Q1 2024 had an abnormal high claims frequency due to the harsh weather conditions. When normalizing for this, we estimate the underlying claims frequency to have increased by a modest 1% from Q1 2024 to Q1 2025. At the same time, we see high average claims development, driven by newer cars with added technologies which are more complex to repair. It's important to note that the development of claims severity is a combination of older cars having lower than average claims inflation and new cars pushing the average significantly up. We estimate the average claims development to be an increase of 6% in Q1 2025 versus Q1 2024. In this number, we have normalized for the high number of weather-related low-cost claims that happened in Q1 2024. If we had included these, the increase would have been an increase of 9%, but we would then also have seen a clearly falling claims frequency. This development in motor claims frequency and severity is in line with our expectations and we are pricing accordingly. In particular, pricing on new cars is an important focus area, as it needs to reflect this development and also the fact that claims history can be reduced for new car brands and models. And we now turn to slide 16. In this slide, as usual, we show the overall level of large and weather claims, the runoff result and our overall discount rate. Large claims were slightly below normal in Q1, while weather claims were much below normal, reflecting a milder-than-normal winter and a much milder winter than in 2024. Interest rates in general have been rising in Q1 on the back of a muted macroeconomic environment. And the discount rate was 2.3% in Q1. Finally, the runoff result was 2.0% in the quarter, in line with our Capital Markets Day guidance, where we stated a runoff result of around 2% going forward towards 2027. And with that, I hand it over to you, Gian.
Gianandrea Roberti: Thanks, Mikael. We now move on to the investment section. We show here in the first slide the total invested assets of DKK62 billion, split, as usual, in the match portfolio of DKK46 billion and the free portfolio of DKK16 billion. As per end of Q1, Scandinavian government and covered bonds represented 95% of invested assets following the de-risking of the free portfolio last autumn. We are particularly pleased about our chosen asset mix, especially at times of renewed macroeconomic instability. Moving on the second slide, we are showing here that the total investment result was DKK320 million in Q1, obviously well above normalized expectation. The free portfolio posted a good return, driven primarily by healthy returns on covered bonds including some short term rates falling. The match portfolio included an approximately DKK75 million in interest on premiums provision, around DKK50 million from narrowing credit spreads at the end of the quarter, while the remaining part stems from a positive mismatch between the discount curve and our asset side, the covered bonds. One always has to remember that we try to match DKK46 billion, and few basis points of difference may impact the results accordingly. Other financial income and expenses is also much better than normal at around minus DKK18 million, helped by positive currencies adjustments and a very minor negative on the inflation hedge. I would like to stress that the result year to date is significantly different compared to what it would have been if we didn't make the change on the free portfolio, and the current asset mix strengthen our strategic asset allocation. And with this over to you, Allan.
Allan Thaysen: Thanks, Gian. Please turn to the first slide in the solvency and expenses section. Here we are showing an updated development of our solvency position with a new layout. The solvency ratio was 195% at the end of Q1, down from 196% at year-end. The Group capital generation before dividend payment was 19% in Q1 in what is historically the quarter with the lowest level of earnings. In addition, the solvency ratio displays very low currency sensitivities, driven by our chosen strategy. Our solvency ratio will always be fairly simple to model. Own funds is mainly a function of operating earnings and capital distribution, while the SCR remains relatively stable, as this is primarily impacted by the overall business growth. Now, please turn to the next slide. In this slide, we are showing the recent development of our solvency ratio. We mentioned at the Capital Market Day and repeat today that we expect the solvency level to long term gravitate towards a less conservative level. We continue to believe that an elevated level of solvency has served us well in a volatile macroeconomic period. sssI would like to add that even after very significant market turbulence in the first 10 days, also in April, our solvency ratio is virtually unchanged at approximately 195%. Please note that we do not anticipate any big swings in our solvency position. As mentioned, we will review this at year-end, and at that time we may consider extraordinary capital repatriation if found appropriate. Please turn to the next slide for updated solvency sensitivities. Solvency sensitivities are virtually unchanged since Q4, and in general we have very low sensitivities, especially after the asset derisk carried through during the autumn. Unsurprisingly, covered bond spreads remain the biggest sensitivity, as this is by far our biggest asset class. And now, please turn to the next slide for details on the development of our expense ratio. The expense ratio was 13.3% in Q1, helped by a good top line growth and strong cost control in general. The total number of employees increased this quarter, driven by investments in some of our strategic initiatives, insourcing of some tech competences and by a minor change on how this is calculated. The total cost base remains fully in line with our recent CMD communication. Here we stress that we expect a stable to slightly improving expense ratio development towards 2027. Finally, we see low expense ratio as a key competitive advantage and we are very pleased to be able to run our business with such a strong level of efficiency. And with this, I will hand it over to you, Johan
Johan Brammer: Thanks a lot, Allan. And I guess we are now slowly entering the final part of our presentation today. I'd like you to move to slide 26, where I'd like to remind you of the three main pillars supporting our 2027 strategy and our ambition to grow the ISR by DKK1 billion to DKK8.2 billion from the DKK7.2 billion normalized base of 2024. As you might recall, the first pillar, scale and simplicity, will add DKK500 million, technical excellence will help with DKK300 million and customer and commercial excellence will bring another DKK200 million towards 2027. And on this slide, we are commenting on a few selected examples just to add some flavor on the initiatives behind the strategic pillars, as the implementation of the 2027 strategy is actually progressing very well. As for scale and simplicity, we have implemented a new IT organization, reducing our cost, as we have increased the ratio of people working in Scandinavian in truly scaled manner from 30% to 45%. As for technical excellence, we've launched a scaled best practice scored-loss model, enabling a more advanced portfolio management model in the private segment supporting retention rates. And finally, within the last pillar, customer and commercial excellence, we are seeing a robust sale of pregnancy insurance in Denmark, which is one of our focus areas highlighted at the CMD. And if you turn to the next slide, I'll elaborate a little bit further on this particular example. As presented at our CMD in December, we have a strong focus on trying to build a stronger PA book in Denmark, where the starting point is the sale of the pregnancy insurance product, similar to our portfolio in Sweden. And we're very pleased to see a continued growth in the sale of the pregnancy insurance in Denmark and actually also to see a strong conversion rate from pregnancy into child insurance. Due to our scale, we are able to apply learnings and methodologies from Trygg-Hansa into our other markets, allowing for a faster ramp-up. And please note that this is a structural long-term strategic initiative that we expect to be very important in the long run for both our Danish and Norwegian business. And finally, moving to the next page, I'd like to firmly repeat -- I'd like to firmly repeat our financial targets for 2027 which are completely unchanged. We are targeting a combined ratio of around 81%, translating into an insurance service result target of DKK8.2 billion, or as stated, between DKK8 billion to DKK8.4 billion, allowing for some flexibility at both ends of the range considering all the moving parts. In addition, we'll deliver a ROOF between 35% and 40%. And finally, we aim at distributing between DKK17 billion and DKK18 billion to shareholders, including the growing ordinary dividend and the DKK2 billion buyback started on the day of the CMD. We are highlighting in this slide also the strategic KPIs supporting the financial metrics, being customer satisfaction, straight-through processing and CO2 reduction. And with that, I'll now turn to the last slide of the presentation, my favorite slide, reiterating that we are a dividend stock and nothing will change in this matter. And operator, with that I think we're ready to take questions.
Operator: Thank you. [Operator Instructions] The first question is from the line of Asbjorn Mork from Danske Bank. Please go ahead. Your line will now be unmuted.
Asbjorn Mork: Yes, good morning. Thanks for taking my one question, which will be on the Consumer and Competition Authority report that you have the slide on. So I do get the view that you have when it comes to indexation but I was actually also a little bit curious on the report's conclusions when it came to loyalty premiums. Also because I do recall that you and your peers in the past have been talking about quite different combined ratios for different customer groups when it came to sort of loyalty and how long they've been with the Group. So maybe you can shed some light on sort of how you would see that impacting the loyalty premium going forward or what that impact could be on your business, and maybe if you could link it a bit to the slide 12, the customer churn slide, where obviously we see churn picking up quite significantly in Norway and Denmark. So basically, what is driving or causing this churn? How long have the clients that leave you been with you? Has it been sort of a change to that pattern over the last couple of years? So the mix of people that leave you is different now than it was a couple of years ago or what? That would be my question. Thank you.
Johan Brammer: Thanks a lot for that, or those questions, Asbjorn. I'll try to sort of to answer them perhaps in a backwards order. Right? So if we just look at the churn. I don't -- we are not disclosing the details of the churn we are seeing, right? But I think what we are seeing in terms of retention rates is to me a demonstration of the fact that there's a fierce competition in the markets and the customer mobility is fairly strong. We are seeing 500,000 customers in Denmark moving provider every year. So there's a lot of mobility, and I think the industry sees it that way. As for your first question as to loyalty premium and loyalty payments, you're asking for my conclusion. I don't think we are at a position now to conclude anything. Let's await the hearing that's going on in April. Let's await a possible market investigation. What I can say is that there is no indications in the DCCA report that regulation around price walk would be relevant. The DCCA seems to conclude from the report that the so-called loyalty payment, if even present, is significantly lower than what it was in the U.K. sector. And there's no track record of Danish authorities setting prices across industries. So I think let's await what comes from the hearing and the market investigation. But at current stage, it looks like the DCCA concludes that the so-called loyalty payment is significantly lower than it was in the U.K.
Asbjorn Mork: All right, thanks a lot for those answers.
Operator: The next question is from the line of Faizan Lakhani from HSBC. Please go ahead. Your line will now be unmuted.
Faizan Lakhani: Hi there. I just wanted to come back to the same topic. I agree the report suggests that loyalty walking or price walking is much lower in Denmark than the UK But I guess the question is more -- is on the relative usage of price walking. So could you give a sense of, A, what sort of your average duration of your customer is? B, what the delta is between a new and renewing customer for yourself and see -- if you see that being different for the various players across the market? And just as a side point, has the DCCA taken into account your foundation model and what that means for rebates and if that plays into the delta or the price walking element as well. Thank you.
Johan Brammer: So, Faizan, thanks for those questions, and I'll try to get around them as good as possible. Right. You're asking for the tenure of our customers. It varies quite a lot across markets, across business lines, across partner agreements and direct agreements. So it's difficult to give you a straight answer on that, to be very frank. And as to your question regarding whether the DCCA has looked into the foundation, it's unclear to me. It seems to me from the report, from the 178 pages, that there are two things that stand out to me. One is that there is no indications that anybody has done anything wrong in the industry, number one. And second of all is they seem to be zooming in on this indexation methodology of repricing that has been occurring in Denmark for many, many decades. Let's await the hearing, let's await a possible market investigation. And I must say, just coming back to my conclusion here is, we do not believe that this report will in any way hamper our ability to run a efficient business with strong customer satisfaction and healthy returns to shareholders.
Faizan Lakhani: Okay, I appreciate it. I mean, just -- it would be appreciated, given the fact I cover the UK companies as well, that the differential can be quite big, and people will worry about the margins or the relative margin for yourself versus the rest of your peers. So if you can disclose that over time, that'd be appreciated. Thank you.
Johan Brammer: Copy that.
Operator: The next question is from the line of Mathias Nielsen from Nordea. Please go ahead. Your line will now be unmuted.
Mathias Nielsen: Thank you very much. And thank you for taking my question as well. So my question is like a bit coming back to the retention rates, like how worried should we be about that? And also given the fact that we also see the underlying claims ratio in Private improving 10 basis points year-on-year, is that also another signal that you're moving closer to getting back to the competition, where you also go for balloon growth and new customers and cross-selling. Also notice that you changed your house insurance list prices during the quarter. So if you can give a bit of update on like how you view on getting back to growth, being more split between volume and prices in the future.
Johan Brammer: Thanks, Mathias, for those questions. Maybe I'll address the retention part and the growth part, and then maybe I'll pass it on to you, Mikael, for the underlying thoughts. So on the retention part, you're right, we are seeing retention rates weakening slightly for this quarter. That being said, this is a natural element to observe when we're going through profitability initiatives as we've been going through for quite a while. We've seen this before at Tryg when we are going through this level of price initiatives. Historically, we've seen these retention rates taper back into where they were before as the market normalizes. So we are not super-concerned at this moment at all. We expect them to bounce back as the market normalizes. In terms of the growth component, I think you're touching upon something quite important strategically. We've had a period of time where inflation has been taking up quite a lot of our headspace. It is, of course, always a balanced approach, how you handle inflation and underlying, but also how you handle your costs -- your growth. I think you're right in assuming that should the world normalize, the growth component and the organic growth will take up more of our strategic initiatives. We are seeing parts of that already. We are seeing product categories like cyber insurance picking up. We are seeing categories like pregnancy insurance picking up. So there are elements of this that are starting to crank up. But that being said, it has been a very much inflation focus for a while. Let's hope that the market stabilizes a bit, and we'll see more organic growth going forward. And then, Mikael, maybe on the underlying part you would comment.
Mikael Karrsten: Yes. So let me on -- let me comment on two specific things. If I first just comment on the retention rates. I think we should also remember that there are specific -- individual specific agreements during the last couple of quarters which we have deliberately walked away from in order to focus on the profitability. And then the second part is, I mean, obviously over time we do not expect the inflationary pressure to be what it has been over the past 18, 24 or so months. So gradually, we will move into a different part of the business cycle, where obviously rate will play a less part and growth in other areas, such as growing the number of customers and growing the number of products per customer, will play a part. But again, we are completely focused on the bottom line result. And, at least for some parts of the business, mainly motor and Norwegian personal lines, we still are very focused on the profitability initiatives, namely rate. But over time, we will see a different balance of the growth.
Mathias Nielsen: Thank you very much. So just to conclude, so it's fair to assume that it is getting closer to a normalization in the space if you look maybe apart from Norway?
Johan Brammer: I don't -- honestly, with the turbulence we're seeing in the world these days, I don't want to conclude anything. Our priority number one is to stay alert and react to all changes in the market. So I don't want to conclude anything. I can just conclude that we are alert.
Mathias Nielsen: Thank you very much.
Operator: The next question is from the line of Michele Ballatore from KBW. Please go ahead. Your line will now be unmuted.
Michele Ballatore: Yes, thank you for taking my question. So going to slide 15 regarding the average claim cost which increased by 6%, so you mentioned claims inflation on new cars. But -- so, how much of this is still general inflation? And, if we go to new cars, are you increasing the number of, let's say, new cars, the coverage of new cars, or is it broadly the same or you're planning to increase it? And I believe this regard both Denmark and Norway. So if you can give more details about these numbers -- this number. Thank you.
Mikael Karrsten: Yes, thank you for those questions. I think if we start with the general impact of average claims, without stating the exact number, the overall claims inflation for somewhat older cars is below -- so definitely below the 6% level, as we stated here. So that's dragging the average down. On the other hand then, the average claims of new cars is significantly above this level. And then one should also remember that here one could be fooled by the averages as different car brands, different car models have very different average claim profiles. So that's something, obviously, that we -- is firmly on and taking into account when we price for new cars and new models. And then when it comes to sort of the how we get into new sales of new cars, that is not different than what it has been before. There is a similar sort of transition and churn as normal in the portfolio. So that is by no means any different. The different part is that the increase in claims -- or sort of the increase in claims leads to increase in insurance prices. And that is something that we expect to continue and we price for and it's something that affects the market overall.
Michele Ballatore: Thank you.
Operator: The next question is from the line of Martin Gregers Birk from SEB. Please go ahead. Your line will now be unmuted.
Martin Gregers Birk: Thank you so much. A question on underlying combined ratio by geography, seems like it's improving fairly nicely in Denmark, and also nice to see it in Norway for what is happening in Sweden in the first quarter.
Mikael Karrsten: So if I start on that, and thanks for the question, Martin. I mean, overall, we are very happy about the development of the profitability in Sweden. So the main change relative to last year is the runoff, which was clearly different in Q1 2024. So just say, we are very sort of pleased with the profitability development and the underlying development in Sweden.
Martin Gregers Birk: But what's the reason for the 300 basis points drift -- 320 basis points drift in Sweden on your underlying combined ratio?
Johan Brammer: Just so I understand you correct, you're talking about the combined ratio, right? And that is the…
Martin Gregers Birk: The underlying combined ratio by geography, the one that we get in the analyst fact sheet.
Gianandrea Roberti: Look at the numbers, Martin. It's -- I think it's the underlying claims ratio because we don't publish the underlying combined ratio by geography. So it's the underlying claims ratio.
Martin Gregers Birk: It says it in the analyst’s fact sheet. It's on page two. We have the underlying combined ratio by geography.
Gianandrea Roberti: We don't publish that number, Martin. We don't publish that number. Those numbers are all coming from the Q1 report, like all numbers. So...
Johan Brammer: So if we just zoom out of that particular note, we are very comfortable with the underlying performance across geographies.
Martin Gregers Birk: Okay. All right. Okay. It must be a mistake in the analyst fact sheet then.
Operator: [Operator Instructions] And with that we'll take the next question from Jan Erik Gjerland from ABG. Please go ahead. Your line will now be unmuted.
Jan Erik Gjerland: Hello. Thank you for taking my questions. You hear me?
Johan Brammer: No, we don't.
Jan Erik Gjerland: Hello?
Johan Brammer: Now we hear you again.
Jan Erik Gjerland: Okay, very good. Thank you. When it comes to the premium growth and the indexation and the retention levels, how should we think about sales cost going forward when it comes to the lower retention and the sort of increase in wanted premium growth from the different kind of segments? Is it so that, that could change the overall cost ratio in some way or another, because you have to sort of pick up the number of sales points you have and add to the overall sales cost? How should we read about that into your wanted premium and more products per wallet, et cetera? Thank you.
Mikael Karrsten: Thank you for that question. And no changes whatsoever in our distribution setup. And, we don't see any changes in, sort of, distribution cost in any way. So we're very pleased with the distribution setup that we have. And I think, over time, the only thing that will change going forward is, as we stated before, the growth mix, obviously, will change a little bit from the rate increase growth and the growth from new customers and product per customers. So that we will see taking on a different profile over time. But otherwise no changes.
Johan Brammer: And just coming back to your -- go ahead.
Jan Erik Gjerland: So it means that the sale -- upselling to the same clients is quite cheap, while getting a new client or attracting a new client is more -- much more expensive. So that's why you can keep the sales cost fixed or flat or constant?
Mikael Karrsten: I mean, first of all, correct. And yes, I mean the distribution model is by no means changing. So it's the similar profile as it has been previously.
Johan Brammer: And with the changes we are seeing in retention rates, don't expect us to change our distribution setup due to that. We see it more as slow -- small changes or bumps, so to speak.
Jan Erik Gjerland: Okay, thank you.
Johan Brammer: Just coming back to your question before, Martin, on the underlying combined ratio, I think there's a typo in that particular page you're looking at. It is the combined ratio. and exactly as Mikael said, the impact is driven by an extraordinary runoff in Q1 last year. That's the deviation. So it's a typo.
Operator: The next question we have is from the line of Alex Mackenzie from BNP Paribas Exane. Please go ahead. Your line will now be unmuted.
Alex Mackenzie: Good morning. Thanks for taking my question. It's just really on Commercial growth. I guess, following the shrinkage we kind of expected in Q1 in the old Corporate division, just around what kind of growth we can expect going forward in that. And then on -- I guess the old -- what was the old Commercial business. I might have misheard or misinterpreted, but I think some of the comments earlier sounded slightly negative on growth into Q2 this year. So just a bit more detail that would be helpful. Thank you.
Johan Brammer: Thanks for that question, Alex. And I think just to be more clear, right, so we are seeing Q1 being a little bit depressed in the Commercial lines due to a few Norwegian corporate business customers who left us, and that's going to have some negative weight up until mid this year. So we expect the same in Q2. In general, for commercial lines, we are seeing the growth being a little bit under pressure due to the retention rates caving in a bit to the price increases. As mentioned, we expect this to normalize over time as we get into more normal territories. So nothing to be concerned of. It's just the nature of the profitability initiatives we're doing and the fact that we lost a few Norwegian clients last year that is weighing negatively up until mid this year.
Alex Mackenzie: Thank you.
Operator: And next up, we have a follow-up from Faizan Lakhani from HSBC. Please go ahead. Your line will now be unmuted.
Faizan Lakhani: Hi, there. I wanted to come back to the development of the Private underlying loss ratio. What is the delta between earned rate versus claims inflation? Should we see a pick-up in the earned premium and therefore a greater improvement in the Private underlying loss ratio as the year goes on? Thank you.
Mikael Karrsten: Thanks for that question, Faizon. And I think I'll first just go back to sort of our headline on this that we expect a broadly stable to slightly improving underlying claims ratio. And as stated before, the mix of that between the Private and the Commercial segment will change over time. We have seen obviously the Commercial part improving over a long period of time. This quarter is the first where we've seen an improvement in Private for some years. So we do expect a different mix in that. But overall, stable to slightly improving underlying claims ratio going forward.
Faizan Lakhani: Okay. But no sense of the trajectory of the shift and how quickly that could happen between private commercial? Do you think probably commercial could happen this year a bit more aggressively?
Mikael Karrsten: I mean, again, we're coming back to the headline but with a stable to slightly improving underlying claims ratio. I mean, I would like to stress, though, that we have taken the actions specifically on motor, specifically on personal lines Norway and we're seeing the impact of that earning through which we're very happy about and comfortable around.
Faizan Lakhani: Okay, thank you very much.
Operator: The next question comes from Daniel Wilson-Omordia from Morgan Stanley. Please go ahead. Your line will now be unmuted.
Daniel Wilson-Omordia: Hi, good morning, guys. Thank you for taking my questions. Two really quick ones. One on real estate. I'm wondering if you have any updates on kind of the divestment there, if there's anything happening in the background. I understand nothing has physically happened this quarter but if there's any updates on your progress there then that would be great. And then secondly, if we could get the corporate or the old corporate growth numbers, that also would be great. Thank you very much.
Allan Thaysen: Yes, let me start with the update on properties. And the update is that there's actually no news there. We will, as said, take an optimistic approach to this asset class, but long term we still plan to exit it.
Johan Brammer: And as for your second question around the growth, as I heard it, the growth in the Corporate portfolio, essentially the growth in the commercial lines is still impacted by the rebalancing of the corporate portfolio that was completed by the end of last year. It will still weigh negatively on the growth in Commercial lines up until mid this year.
Daniel Wilson-Omordia: Is it possible to get the number -- the growth number for Q1 this year for corporate?
Johan Brammer: An adjusted number, no. Actually, the way we are reporting now is we have combined the entities and we are reporting them in an aggregate number. I think we also said at the full year that should there be any material information for you -- for the market to know, we would share that. Other than that, we are going to now report as one combined entity. Bear in mind that the corporate part, following the de-risking we've been -- journey we've been on is a very small proportion of the total Group premiums.
Daniel Wilson-Omordia: Alright, thank you very much.
Operator: We have another follow-up from Alex Mackenzie from BNP Paribas Exane. Please go ahead. Your line will now be unmuted.
Alex Mackenzie: Hi again. Just going back on the corporate division, in particular, on the Tryg guarantee business, I guess, do you see any opportunities or risk there given any trade-related uncertainty at the minute? And then, I guess, with the focus of the corporate division more towards Nordic geographies, what's your strategy for the guarantee business going forwards? Thank you.
Mikael Karrsten: So if we start with the credit and surety business, I mean, first of all, it's 3% of our total book, so I think we should remind ourselves about the size of it. Second of all, we're very happy about the quality of -- the underwriting quality of the portfolio. And, obviously, third, we're taking on a very sort of conservative approach in our reinsurance part of it. So, overall, sort of very happy about that exposure and the profitability development that we're seeing in that part.
Alex Mackenzie: Thanks. And then I guess is that a part of the business that you're looking to grow?
Johan Brammer: That's a very good question. And we do see this being a profitable growth pocket for us as a business. That being said, we have a careful and cautious growth journey here. This is not something you want to dip your toes into quickly. We have a history of having this business on our books. We have a business of having very careful growth and we'll expect to continue that careful growth journey. But it is something that has strategic importance for us, as it is a good way of growing in a profitable part of the market.
Alex Mackenzie: Understood. Thank you.
Operator: Next up, we have another follow-up from Jan Erik Gjerland from ABG. Please go ahead. Your line will now be unmuted.
Jan Erik Gjerland: Thank you for taking my follow-up. Just back to the DCCA report and this indexation. Could you shed some more light in how that indexation actually work? Who decides what kind of indexation it will be per product? If you as a company actually have an impact to that number at all, or is it set by a different body, or is it a cooperation between the company setting the rate, et cetera? And finally, is it possible to discount it in any way on top of that?
Mikael Karrsten: I think if I bring this back sort of a fairly sort of high level and strategic part. I mean, indexation is something to -- looking at sort of the salary inflation in the market and then having that as an overall market sort of factor that everyone sort of in the market goes by. I think if we sort of just go back, if it's handled in that way or if it's handled the way it's handled in Sweden or Norway, I mean, it doesn't really matter. As long as we have the same rule for the entire market, it doesn't really change things.
Jan Erik Gjerland: But do you impact -- as a company, is it set -- this indexation, is it set by different body or is it set by you?
Johan Brammer: The indexation is based on index tables from the Danish authorities on statistics. That's what it's based upon.
Jan Erik Gjerland: Okay. And then you set your own indexation based on that. And a company B sets their indexation based on that, but they're same kind of principles?
Johan Brammer: The indexation is fixed based on public tables. And then whatever pricing measures anybody in the industry would have to do, they do on top of the indexation if needed. But the indexation is done from a authoritative source in Danish statistics.
Jan Erik Gjerland: So how could that be so poor from the DCCA report?
Johan Brammer: I think that comes down to a question you should ask the DCCA. They see this as hampering for full competition. We as an industry see it differently. But, let's await the hearing that is going on in April. Let's await a possible market investigation. This is a methodology that has been used for decades in Denmark. We've seen other markets where we -- in Norway and Sweden where it's not being used. There are different ways of doing it. Let's await and see how this debate ends.
Jan Erik Gjerland: Agree. Thank you.
Operator: The next question is from Autonomous Research. If you can please state your name before your question, that would be wonderful. Thank you. Your line will now be opened.
Youdish Chicooree: Good morning, everyone. This is Youdish Chicooree from Autonomous Research. Can you all hear me?
Gianandrea Roberti: Yes, we can hear you.
Youdish Chicooree: Yeah, thank you. Yeah. So if I could go back on the DCCA investigation as well. I understand, I mean, this is the first time they're doing this investigation and -- following some legislative change last year. Can you remind us what kind of enforcement powers they have? I know you mentioned that they have not talked about any wrongdoing in the market, but if you could just remind us what kind of potential action they could take, that'd be very helpful. And then secondly, just on loyalty premium and price walking, I believe the Swedish regulator did a study two or three years ago. Can you remind us of the outcome of that, please? Thank you.
Johan Brammer: Thanks a lot for those questions. To be very clear, I had a little bit of trouble hearing it, but I think I understood the gist of it. So the first one is around how this market investigation could be conducted. This is the first time it would be conducted in Denmark, so it's a little bit unclear to everybody. But I can remind you of one thing. Please remember that the DCCA report does not indicate that the insurance sector has done anything wrong. And the DCCA scope and mandate under the market investigation regime is to impose orders on practices with future effect, nothing else. So we don't see any risk of fines or retroactive actions. And on the second point, as I understood it, it was very much around loyalty payment. And the DCCA concludes in the report that the loyalty payment in the Danish sector, based on the numbers they have gathered, is significantly lower than it was in the UK sector.
Youdish Chicooree: Thank you very much. I think the second question was around the similar study that was done in Sweden actually two or three years ago.
Johan Brammer: Sorry.
Youdish Chicooree: And -- yeah, and I was wondering what was the outcome of that, just for us to get a sense of -- a guide of what can happen afterwards.
Johan Brammer: I think all I can share is that the Swedish FSA has made the same analysis, concluding that there were no competitive issues in motor insurance, but some signs in other parts, smaller parts, but no actual intervention was made in that market. So that's all I can share on the Swedish angle.
Youdish Chicooree: Right. Very clear. Thank you very much.
Operator: We have come to the end of list with questions. So I will hand it back to the speakers for any closing remarks.
Gianandrea Roberti: Thanks a lot to all of you for a good dialogue and some good questions. Tryg Investor Relation teams, as always, will be able to help you today and the next few days. Otherwise, we look forward to see you in the forthcoming period. Thanks a lot.